Operator: Good day, ladies and gentlemen, and welcome to the PGT Incorporated First Quarter 2013 Earnings Conference Call. At this time all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. (Operator Instructions) Today’s conference is being recorded. I would now like to turn the conference over to Brad West. Please go ahead sir.
Brad West: Good morning and thank you for joining us for PGT’s first quarter 2013 conference call. I’m Brad West, Corporate Controller, and I’m joined today by Rod Hershberger, President and CEO; and Jeff Jackson, Executive Vice President and CFO. Rod and Jeff will represent PGT in this morning’s call. Before we begin, let me remind everyone that today’s conference call may contain statements concerning the company’s future prospects, business strategies, and industry trends. Such statements are considered to be forward-looking statements under the Private Securities Litigation Reform Act of 1995. These statements do not relate strictly to historical or current facts. Rather, they are based on our current expectations and are subject to risk and uncertainty. Actual results may vary materially from those contained in the forward-looking statements. Please refer to the May 1 press release, our most recent Form 10-K, and other documents filed with the SEC. We undertake no obligation to publicly update or revise any forward-looking statements. A copy of our press release is posted on the Investor Relations section of our corporate website at www.pgtindustry.com. Included in the press release are the unaudited consolidated balance sheets and statements of operations prepared in accordance with GAAP and adjusted information, which was quantitatively reconciled to GAAP. Our company uses non-GAAP measurements as key metrics for evaluating performance internally. A detailed explanation of these non-GAAP measurements can be found in our press release, which was included as an exhibit to our Form 8-K filed May 1 with the SEC. These non-GAAP measurements are not intended to replace the presentation of financial results in accordance with GAAP. Rather, we believe these non-GAAP measurements provide additional information for investors to facilitate the comparison of past and present performance. For today’s call, Rod will provide an overview of our performance for the first quarter ended March 30, 2013; then Jeff will discuss our results in more detail. After their prepared remarks, they will take your questions. With that, let me turn the call over to our CEO, Rod Hershberger. Rod?
Rodney Hershberger: Thanks Brad. Good morning, everyone. During the first quarter of 2013, sales grew 30.1% to $49.6 million, primarily driven by two factors. First, sales increased in our repair and remodeling markets 26% due to improving market condition driven by macroeconomic factors such as lower unemployment, better access to credit, and improved housing prices, as well as focus promotional programs targeting our WinGuard products, which grow share during the quarter. Second, new construction sales increased 42%, driven by improved market condition including an increase in Florida single-family housing starts of 50% during the quarter. Florida single-family housing starts are projected to grow at a compound annual growth rate in access of 30% over the next three years, which will bring our core market close it normalize 100,000 starts per year. Impact sales grew 39% over the first quarter of 2012 and represented 77% of total sales, compared to 72% a year ago. This growth was led by a 40% increase in our WinGuard product line, which grew substantially in both the new construction and repair and remodel markets. The sales and marketing programs ran during the quarter with both detailer and consumer driven and focused on our WinGuard product, which drove or improved product mix. We also completed the sale of our Salisbury, North Carolina facility for $7.5 million net of selling costs resulting in a gain of $2.2 million. The proceeds of the sale were used to voluntarily prepaid an additional $7.5 million of outstanding bank debt, bringing our gross debt to $30 million. Net income from the quarter improved to $5.3 million compared to a loss of $700,000 a year-ago. The improved financial performance is the result of the hard work and dedication of our employees, including the 159 new employees who joined us during the first three months, to satisfy the growing demand for our products, and to deliver our value proposition. Adjusted EBITDA, which excludes the gain on Salisbury, was $7.2 million or 14.5% of sales which is $3.8 million or 114.8% increase over the first quarter of 2012 EBITDA. Our gross margin was 35.4% compared to 31.3% for the first quarter of 2012. The increase of 4.1% in gross margin was driven by mix improvement and improved operating leverage, resulting from higher sales. As our revenue grew, SG&A cost as a percent of sales declined from 30.7% in the first quarter of 2012 to 26.3%. In terms of dollars, SG&A cost grew $1.3 million driven by an incremental investment in sales and marketing dollars of $1.2 million to further drive revenue within the quarter and into the remaining year. Additionally, we had increased employee related expenses of $400,000. These increases were offset by reduced warranty related costs of $300,000 resulting from improved quality. Some highlights for the first quarter of 2013 include, a significant improvement in our mix of WinGuard product sales, up 40% from the prior-year. Gross margin percentage of 35.4%, up 410 basis points from 2012 gross margin; Net income excluding the gain recorded on the Salisbury sale and related tax impacts of $3.2 million or $0.06 per diluted share and adjusted EBITDA of $7.2 million, up $3.8 million or 114.8% versus prior year. I am thankful for the hard work of our employees both new and tenured who delivered on our value proposition, which drove the positive financial results in the first quarter. I’m also optimistic about the opportunities to leverage our sales and advertising campaigns, which will drive brand awareness in this growing market. With that I’ll turn the call over to Jeff, who will review the results for the quarter in greater detail.
Jeffrey T. Jackson: Thank you, Rod. Our WinGuard product sales increased 40% over prior year. This was due in part to the improved market conditions in new construction and repair and remodeling market as well as targeted sales and marketing programs ran during the quarter. Our gross margin increased 47%, driven by revenue growth, improved operating leverage from higher sales and improved product mix. SG&A increased over prior year primarily due to investing in selling and activities and advertising campaign, which fueled our sales increase. Our $7.2 million in adjusted EBITDA represented 14.5% of sales. Our quarter-ended cash balance is $14.3 million and we voluntarily prepaid an additional $7.5 million of our outstanding bank debt during the quarter with proceeds from the sale of Salisbury facility bringing our gross debt to $30 million. Additionally, we repurchased approximately 1.1 million shares of our common stock for approximately $6.1 million. This brings our total investment in our stock to $10 million adding 2 million shares of stock to our treasury. As Rod mentioned, and as many of you have learned from our earnings release we reported net sales of $49.6 million for the first quarter of 2013, a 30.1% increase over prior year quarter. Looking at our results of our product line for the first quarter compared to 2012s first quarter, we have WinGuard sales of $35.4 million versus $25.3 million, an increase of $10.1 million or 40%. Sales of our vinyl non-impact another product sales were $6.3 million versus $5.6 million up 12.6%. Sales of aluminum non-impact were $5.3 million versus $5.1 million, a 3% over prior year or from sales of $1.7 million versus $1.8 million during the quarter essentially flat and our architectural system sales were $800,000 versus $300,000 an increase of approximately $500,000. Gross margin for the first quarter of 2013 was 35.4% versus gross margin of 31.3% in the first quarter of 2012. Our increasing gross margin as a percent of sales of 1.4% was driven by leveraging our increased sales of 390 basis points improved product mix mainly aluminum WinGuard adding 170 basis points offsetting these increases is the impact of temporary inefficiencies in labor associated with hiring a 159 new employees to meet the increasing demand during the quarter which negatively impacted margins 150 basis points. Our average cost of aluminum was approximately $0.92 per pound during the first quarter compared to the first quarter of 2012’s weighted average cost of approximately $0.98 per pound. During the first quarter of 2013, our cost of aluminum was comprised totally of spot purchases as our aluminum hedges were not classified as effective for accounting purposes. We did pay approximately $19,000 or $0.02 per pound, which was reporting in other expense for the ineffective contract that settled during the quarter. As of today, we are hedged to approximately 40% of our estimated needs through the third quarter of 2014 at an average of $0.92 per pound, The cash prices at the day is $0.84 per pound. Our selling, general and administrative expenses were $13 million, an increase of $1.3 million from the first quarter of 2012. As a percent of sales SG&A declined from 30.7% in the first quarter to 26.3% during our current quarter. Highlights within SG&A include an increase of $700,000 selling activities, an increase of $500,000 in marketing investments and an increase of $400,000 in employee related expenses. Offsetting this increase was a decrease in warranty related expense of $300,000. During the first quarter of 2013, we recorded $400,000 of tax expense; our tax rate is 7.7% for the first three months ended March 30, 2013 as we released a portion of our deferred tax asset valuation allowance to offset a portion of our regular tax expense. This rate is based on estimated annual rate; excluding the potential impact of discrete events such as the release of a valuation allowance on deferred tax assets. We do expect to release the remaining balance during 2013. We had net income in the first quarter of $5.3 million or $0.09 per diluted share versus a net loss of $700,000 or $0.01 per diluted share in this first quarter of period year. A net income in the first quarter of 2013 included its gain of $2.2 million related to the Salisbury facility, excluding the gain on those sales and related tax impact, adjusted net income was $3.2 million or $0.06 per diluted share. Our current shares outstanding totaled approximately $52 million. Adjusted EBITDA was $7.2 million for the first quarter of 2013 versus an EBITDA of $3.3 million for the first quarter of 2012. The increase in adjusted EBITDA of $3.8 million is due mainly to $5 million attributable to increase volume and $800,000 from improved product mix, offsetting these two increases was $700,000 impact of temporary inefficiencies resulting from our recent hiring and increased advertising and promotional activities of $1.2 million. A reconciliation of the net income and EBITDA, which I’ve just discussed, has been included in our earnings release for your reference. Now turning briefly to balance sheet; as of March 30, 2013, our net working capital, excluding cash was $20.4 million, an increase of $5 million. The increase is driven by an increase in our accounts receivable of $4.9 million. DSOs remain relatively flat 32 days at the end of the first quarter, compared to 33 days at the end of the first quarter of 2012. Our free cash flow for the quarter was $1.3 million, mainly driven by EBITDA excluding non-cash item such as stock compensation of $1.7 million. We invested $5 million in cash for working capital mainly accounts receivable. We paid $600,000 for capital additions and we had cash paid for interest of $800,000. Over the course of the quarter, we experienced a 22% increase in sales in January, compared to our prior year. This was followed by 33% increase in both February and March over the prior year. The growth experienced during the quarter was a result of improved market conditions in our core markets as well as targeted sales promotional activity. Our expectation is that with improved marketing conditions in our investment in promotions, television and radio advertising, we will see solid year-over-year growth in our second quarter. I’m pleased to report April finished 37% up in sales. We’ve also hired an additional 125 employees since the beginning of the second quarter bringing total employees hired for the year to 284. We are working hard to get these new employees up to speed, but do expect some continued inefficiency in our second quarter. With the growth in sales experienced so far this year, we are now operating at approximately 60% capacity for manufacturing lines. We are however, bumping up again capacity in certain parts of our glass operations. We would utilize outside glass parts to fill in gaps and have already begun to consider and implement glass capacity expansion strategies. As you last week saw, we filed an amendment to our registration statement with the SEC. It is important to note that the amendment clearly state the company is only registering shares currently owned by JLL and any sale of these shares will increase our public flow and reduce the overhang of a majority owner. However, it will not have a diluted effect as no new shares will be issued. With that, let me turn the call back over to Rod.
Rodney Hershberger: Thanks, Jeff. Our markets have shown substantial growth during the quarter and we are well positioned to capitalize and gain market share. Our company is looking to build on a recent successes and our leadership is implementing strategy, which are designed to grow PGT sales and market share. Our employees are committed to deliver on our value proposition and to succeed as part of the PGT family. In conclusion, we are pleased with our recent performance, excited with our present opportunities, and certain that future will produce increased shareholder value. With that, I’ll conclude and Jeff and I will be happy to answer your questions. Jamie, if you could get the first question please.
Operator: (Operator Instructions) Our first question comes from Sam Darkatsh from Raymond James.
Sam Darkatsh – Raymond James & Associates: Good morning, Rod, Jeff, Brad, how are you?
Jeffrey T. Jackson: Good morning Sam.
Rodney Hershberger: Good morning.
Brad West: Great. 
Sam Darkatsh – Raymond James & Associates: I would say congratulations but that implies that the best is behind us so, I’ll try and keep the congratulations to myself but very nice quarter.
Jeffrey T. Jackson: Thank you.
Rodney Hershberger: Thanks.
Sam Darkatsh – Raymond James & Associates: First half, I mean these are I guess high class problems, the inefficiencies that you talked about due to the scrap, the labor cost and I guess it also talking about having that some glass capacity to. What do you expect the duration of those inefficiencies going forward based on your current run rates and the typical learning curve that your labor force has and what have you, how should we look at incremental gross margins and how long the inefficiencies might last?
Rodney Hershberger: Sam, typically based of our experience, and hiring which we hired a lot of people over the last two years of the consolidation, beginning with the consolidation of our North Carolina facility. It takes about six months for direct labor, an hourly employee to really get up to speed and trained. We do take our time in doing that, because obviously turnover is an issue. This is a tough job. It’s a manufacturing environment on a hard, fuller and heavy product. But I am also happy to report. We have only about a 10% turnover ratio on that 280 we hired so far. So we are doing a good job in retention. And also training, that’s the biggest thing just get them in here, get them used to the working conditions, the hours, going to product. And I would say six months an average person, six months is up to speed and you’ll see those inefficiency start to bleed back into the P&L and go away, come to bottom line. In terms of scrap, scraps in ongoing battle in a sense because we’re always looking at better ways to utilize our products as they come to the line. And that will kind of mirror that same timeframe although it could be shorter, people tend to learn how to cut quicker, it is a matter of putting it together and travel to the plan et cetera to get it loaded to the truck tends to take longer. So I would expect scrap to probably come down a little before, you’ll see that direct labor fees come down. But on average, I’d say six months.
Sam Darkatsh – Raymond James & Associates: Okay, six months from the initial hiring, and I’m guessing you are still hiring though into Q2, so would it last longer than six months or we would really see that start to bleed off six months time?
Jeffrey T. Jackson: You’ll see that in stages, so in other words, if the first quarter I believe is $700,000 roughly to impact on our margins. Obviously all those people we hire in the first quarter, they’re going to become more efficient during the second quarter, actually we’re already starting to see that some even in April as our – on the throughput, our capacity increases that become more efficient. We actually saw that in April. So you’ll start to see some of that go away. Yeah, we are hiring like you’d mentioned, we are hiring. We hired Monday, Rob, I mean we hired roughly 20…
Rodney Hershberger: Around 20 on Monday.
Jeffrey T. Jackson: Around 20 employees on Monday; we probably have open [rack], Sam about a 100. That doesn’t mean we’re going to hire 100. But that’s probably what we’re looking at over the course of the remaining year.
Sam Darkatsh – Raymond James & Associates: Okay. And then the 60% utilization, I’m guessing that’s hard capacity, what would you pay your accrued capacity this quarter? How many shifts you’re running and how many could you go if you had to go flat out?
Rodney Hershberger: We are running one full shift. We are staffing for our second shift, which is probably two-thirds the way full, it depends on which line, some lines are fully staffed, some aren’t. But we’re probably two-thirds of way with second shift, and no really third shift. And I’m talking production capacity actually the making of the window. On the glass side, we are running three shifts in our glass plant already and two full shifts with the scale and third in our IGR insulating glass plant. So it depends on where you are at in the plant. But the main plant is 60% what I was referring to, we can still make up add another shift. So we can still make a lot of product down the plant. We would just be buying more glass from the outside until we expand that capacity.
Sam Darkatsh – Raymond James & Associates: And then I guess next obvious question is how do you breakthrough that bottleneck on the glass side and what was the free up and what was the timing of that base?
Jeffrey T. Jackson: Timings were up to say, Sam because really we did experience some of that in the first quarter in terms of having to buy from the outside. It was much, but it did hit the P&L, I’m going to put take above 300 gram spread to 250.
Rodney Hershberger: Yeah, maybe around 250.
Jeffrey T. Jackson: Maybe around 250 in terms of its impact and purchasing outside glass; but remember we don’t walkaway from a sale. Our job is to leverage fixed cost, so as long as we didn’t get that sale to make a decent margin, our WinGuard margins in the first quarter were 42.4% on average. So as long as I can still leverage at fixed cost, we’re still going to get the sale even though we maybe buying some glass from the outside, from our suppliers such as Cardinal as an example. In terms of actually expanding that capacity as a process, we’re currently going through. We’ve been looking at it for over a month now. I can’t give you an exact timeline. There is basically two areas we’re going to expand first, cutting, the actual cutting of the glass and the tempering of the glass. So those are the two areas we’re going to buy machinery for into the future as we look to bring that in-house. But timing, lead times in this things, Rod, you know three months to six months.
Rodney Hershberger: Yeah, three to six months, it depends on how sophisticated we want to be and how high end you want to be, we had a place to put it.
Jeffrey T. Jackson: Yes, so there is different things going on in terms of meetings and strategies to look at this. And it’s important to note that in the meantime, we’re not walking away for many sale, we can also buy glass from the outside.
Rodney Hershberger: Yeah, we’re one of the few companies that few residential companies that actually does its own tempering, cutting tempering and laminating. So we’re kind of unique when it comes to that on a standpoint. Our business pretty well Sam, we’re busier in the second quarter and third quarter, usually than we are in the first and fourth. And so we’re really hitting it in the second and third quarter is what we’re looking at. So we’d be looking at making sure that we have that need covered just for margin sake, not because we can’t get the products. It’s not that hard to get the product, but for margin purposes.
Sam Darkatsh – Raymond James & Associates: Which leads me to my next question perfectly, you just you mentioned, you don’t walkway from a sale, have you considered raising prices a bit to alleviate some of the – that the throughput pressures you have particularly on the glass side and eliminate some of these learning curve and efficiencies or you concern that maybe elasticity of demand or comparative response might not be a good idea?
Jeffrey T. Jackson: We’ll always look at pricing and considering pricing, not for the reasons you gave. More to remind everyone that we kind of came through five or six years of pretty tough time, and the ability to gain market share is pretty important to us right now and now walking away from the sale. But we want to look at the pricing in the marketplace and the cause of the inputs and make sure that we’re balancing what it caused us for product, what it caused us for labor, what it caused us for benefit, we can passalong. But from a manufacturing standpoint, there is plenty of capacity in the main plant. There is glass passing that’s a real strategy you need to buy. So we can bring that in. So we would not raise prices to control throughput. We would raise prices because it gives us better margins.
Rodney Hershberger: And I think we’d look at the competitor landscape obviously, which share being most important for us right now, because of our fixed cost structure, we make that margin. And as we look at the competitors’ landscape we are hearing of people raising prices in particular, a couple of competitors, we know about it in the 5% stock price increased range. We hadn’t had a major process increase in a long time. We’ve had spot price increases on certain products that for whatever reason with low margin, we wanted to bump up that margin or maybe this is an input cost, it changed on it or whatever. So we’ve had some spot price for instance here and there. But we haven’t had across the Board, price increase in a long time. But we are hearing a lot of our competitors are and actually a lot of the building product suppliers in general whether it lumbered to drive well. I mean a lot of that stuff as we’re hearing pricing starting to come to there. So that’s something we always keep in our back pocket.
Sam Darkatsh – Raymond James & Associates: Last question and I’ll defer others to start to monopolize the call here. With the R&R business up, really nicely went up high 20s percentage wise. I’m looking at the Florida existing home sales, I think that was up low double-digit maybe 10%, 12% or so in the quarter and that’s encouraging to me at least because it shows that R&R business, which tends to track home sales have been on the lag is exceeding that. Do you anticipate your R&R business to continue to exceed maybe existing home sales, I think it was the first time in a while that we’ve seen that development in your numbers?
Jeffrey T. Jackson: Sam, I think a little bit of that is some pent-up demand. People are wanted to do some improvement. And we look at it, maybe that driven as much by the sales as by home values going up. Once the home value start raising and people feel like they have a little equity or we’ll be creating some equity in their homes. I think that freeze up the ability to do some improvement. The improvements that we offer home owners are little different and your typical home improvement because of codes and because of insurance. The big granite countertops in (inaudible) insurance break we putting back, when does you get an insurance break? So we’ll watch that pretty closely, but we think home values will be more important necessarily than just the sales?
Rodney Hershberger: Yeah, I will say, I will add to that, R&R in the quarter up roughly 26% year-over-year. I do, we do expect our R&R sales to probably trend higher then the national kind of R&R percentages there are out there for that very reason. So we do expect a good R&R market here in Florida for us in the foreseeable future…
Sam Darkatsh – Raymond James & Associates: Being in the Florida, Florida market myself you’re listed there that will be terrific. Thank you very much, Rod.
Rodney Hershberger: Thanks.
Operator: The next question comes from Steve Dyer from Craig-Hallum.
Steven Dyer – Craig-Hallum Capital LLC: Nice, good morning, congratulations guys.
Rodney Hershberger: Thanks Steve.
Jeffrey T. Jackson: Okay, thanks, Steve.
Steven Dyer – Craig-Hallum Capital LLC: Thanks. A lot obviously has been covered already, so I’ll just take a sort of fill in the blanks. When you look at all the moving pieces, so you hired a bunch of people and they’ll get gradually more efficient, you’ve got aluminum coming down in prices, you’ve got theoretically more revenue to spread over, I mean safe to say you’d expect gross margins to tick up higher from here.
Rodney Hershberger: Yeah, I mean long-term this year into next year, when I say long-term, our targets for gross margins to definitely improve as we both become more efficient as mix continues to improve as throughput continues to improve and we hold our fixed costs as tight as we can with increasing sales. There will be a point in time and I don’t know where that is but when sales reaches a certain amount, we have to layer in some fixed costs. We will do that cautiously, obviously with margins in mind as well as servicing our customer first but I do expect our gross margins to improve, my long-term targets closer to upper 30, I know it is in mid-30s now but my long-term goal is upper 30s.
Steven Dyer – Craig-Hallum Capital LLC: Okay. And then I think you said in the last quarter’s call if you are going to layer in some incremental sales and marketing expense look like $1.2 million or so in the first quarter, obviously seems to be paying dividend are you planning to kind of hold it at that level, grow it, maybe shrink it. How should we think about that overall number throughout the rest of the year?
Jeffrey T. Jackson: No, we’re going to continue to opportunistically invest in that area. We’re going to look at it. And really a large based on volume, I mean obviously the market turn in around, rooms owners take not just ride the market up, we want to take share in this turnaround. So it will be based on where we can most the bang for the buck so to speak. But we will invest in the second quarter in promotional activity. I will not – maybe not to a same degree as you saw in the first quarter that comes for dollars, but there will be more investment. I don’t have an exact number for you.
Rodney Hershberger: Yeah, we actually shifted a little bit Steve. Typically, we’ve run some television and radio ads like before hurricane season kicks off in June. And this year, we wanted to look at what happens if we did that earlier in the year. We intend to have a lot more second homeowner down there that time of the year and we wanted to make sure we get the message out to them also and that was pretty effective.
Steven Dyer – Craig-Hallum Capital LLC: Okay, it sounds good. And then last question for me. Any real changes you’re seeing kind of the first month of the quarter as it relates to mix, you gave the mix by product line in the first quarter. But so far in April, anything that’s dramatically different or sort of the same path?
Jeffrey T. Jackson: No, no change in mix kind of the same path in terms of mid upper 70s impact related sales.
Steven Dyer – Craig-Hallum Capital LLC: Okay, great. Thanks guys.
Jeffrey T. Jackson: All right, thanks.
Operator: (Operator Instructions) The next question comes from Gunnar Hansen from Sidoti.
Gunnar Hansen – Sidoti & Company, LLC: Hi guys, lot of the questions have been answered here. But I guess just for clarification purposes, can you run me through what year-over-year growth rates in the first quarter for both new construction and R&R markets there?
Jeffrey T. Jackson: Sure, Hi, Gunner. New construction, we grew 42% and in R&R, it was 25.8%. So I think I’d said 26%, but it was 25.8% for total growth of 30.1% total sales growth.
Gunnar Hansen – Sidoti & Company, LLC: Great; and I guess through April here, I mean how is that kind of end market mix shift, is it all or how do you kind of see that developing going forward? 
Jeffrey T. Jackson: I will start to answer that. But unfortunately, we don’t really track that by month like I want to, like we’re going to. It involves getting information from our dealers and suppliers and it takes a while as we close the quarter, we get that kind of information. So I don’t have that April breakup for you.
Gunnar Hansen – Sidoti & Company, LLC: Sure. Sure. And just in terms of some of the added employees just over 280 year-to-date, what does that kind of bring you at this point total hours?
Jeffrey T. Jackson: About 1,200 in total.
Gunnar Hansen – Sidoti & Company, LLC: And I think you said potentially another 100 throughout the year?
Jeffrey T. Jackson: We have 100 open racks. That will depend on both the efficiencies in terms of the current employees. I had mentioned as we train them up, how fast that happens as well as demand, sales continues its current pace. We will definitely start looking at that third shift and things like that. So I’d say 100…
Rodney Hershberger: Yeah, I would say immediate concern is probably 50 to 60, maybe 70. And then by that time we’ll have a chance to assess where we’re at and see if we need to add an additional 30, 40 people.
Gunnar Hansen – Sidoti & Company, LLC: Great, thanks so much guys.
Rodney Hershberger: Thanks. Thanks Gunnar.
Operator: I am showing no further questions. I would now like to turn the call back over to Jeff for closing remarks.
Jeffrey T. Jackson: Thank you. Thanks for joining us today and we look forward to speaking with you all in next quarter. If you have any questions feel free to call me. Have a great day.